Operator: Good day ladies and gentlemen and welcome to the fourth quarter 2008 Archer Daniels Midland Company Earnings Call. My name and Francis and I will be your coordinator for today. At this time, all participants are in listen-only mode. We will be facilitating a question and answer session toward the end of this conference. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today’s call, Mr. Dwight Grimestad Vice President of Investor Relations. Please proceed.
Dwight Grimestad: Thank you, Francis. Good morning and welcome to ADM’s fourth quarter earnings conference call. Before we begin, I would like to remind you that we are webcasting our call and that you can access it at ADM’s website www.admworld.com. The replay will also be available at that address. For those following the presentation, please turn to slide two to the company’s Safe Harbor Statement which says, that some of our comments constitute forward-looking statements that reflect managements current views and estimate of future economic circumstances, industry conditions, company performance and financial results. The statements are based on many assumptions and factors, including availability and prices of raw materials, markets conditions, operating efficiency, access to capital and actions of governments. Any changes in such assumptions or factors could produce significantly different result. To the extent permitted under applicable law, the company assumes no obligation to update and any forward-looking statements as a result of new information or future events. Slide three lists the matters we will discuss in our conference call today. As you turn to slide four, I would now like to turn the call over to our Chairman and Chief Executive Officer, Pat Woertz.
Pat Woertz: Thank you and good morning everyone. I would like to offer a few comments on the year and then I will turn it over to Steve. I will begin with a safety moment. In 2008, we continued to make safety improvements. We reduced our lost workday frequency by 22% in 2007, and we reduced our total recordable incident rate by 12%. We introduced a behavioral safety program and we bought additional new leadership to further improve our safety processes, standards and metrics. We still have progress to make and will continue to work toward our goal of zero incidents and zero injuries. Turning to financial results, this year, net earnings decreased 17% from 2007 to $1.8 billion, due to the absence of last year's one-time gain, and Steve will discuss this in a moment. Revenues increased 59% to $69.8 billion, and we achieved record segment operating profit of $3.4 billion. These results reinforce that we have great assets and great people. Given the exceptional set of global opportunities this year, they delivered an excellent year. Highlighted by our third consecutive year of record segment operating profit, in fact, all three of our key segments, I think for the first time earned around $1 billion. Our results reflect our team's ability to execute our core business and use our global network to meet market challenges amid very fluid and very diverse conditions. During this past quarter, our ability to do this was tested when flooding disrupted the water supply and rail service throughout the Midwest. It affected our Cedar Rapids plant for much of the month of June. Despite a complete shut down for seven days at the plant, our team quickly leveraged our processing and transportation network, they used our trucks to stand in for rail service and we provided uninterrupted supply of product to our customers. By the 1st of July, Cedar Rapids was back safely, fully online. Throughout the year, we faced changing market dynamics. We took sensible, focused, short and long-term actions that strengthened our integrated business portfolio. We strengthened our balance sheet and increased our financial flexibility. We continue to rationalize or non-core assets and we reorganized internally creating a more aligned and performance driven culture. Looking ahead, we continue to have great people and great assets. Today, they are deployed against what we do see is a very different set of opportunities. We will talk about current conditions as we go through each segment. As you know and we know, these factors can change quickly, so while we describe current market conditions, what we do know is our assets are well positioned, and our people are prepared to seek out and capture value as crop supplies and market needs evolve. Overall, I am extremely pleased with the progress of our company this year, and certainly as we look to our long-term opportunities and strategy, we remain very optimistic. Now I will turn it over to Steve.
Steve Mills: Thanks, Pat and good morning, everyone. I will start with slide five. I would first like to take a look at a couple of key items that impacted the comparability of our 2008 and 2007 full year's net earnings. As Pat mentioned earlier, net earnings for the year declined as compared to last year due to the absence of last year's one-time gains on sales of assets which you will recall were Agricore United, our Arkady bakery business and several marketable securities, and we also recognized a non-cash gain on the contribution of several of our Asian Joint ventures in exchange for Wilmar limited shares. In addition, the impact of this year's rising commodity prices on our LIFO based inventories created an after-tax charge of 358 million for this year, compared to a LIFO charge of 129 million last year, and as you can see, the resulting net earnings after specified items is $2.2 billion in 2008 compared to $1.7 billion for 2007. Moving to slide six, you will see our statement of earnings highlights for this quarter. Net sales and other operating income increased 78% in the quarter to $21.8 billion. Following the trend we have seen in recent quarters, nearly 90% of this increase was attributable to increases in selling prices, primarily resulting from the significant increase in underlying commodity costs. The remaining 10% of the increase in sales revenue was due to higher sales volumes. Gross profit grew approximately 12% for the quarter to $807 million, as overall operating margins improved. Partially offsetting these margin improvements were increased manufacturing costs, especially for energy and fuel. Selling, general, administrative expenses increased $54 million or 18% this quarter from a year ago. Approximately a fourth of this increase relates to the effects of foreign currency translation on expenses incurred outside the U.S., and the remaining increases being a variety of lesser factors, including additional bad debt reserves and increases in employee related expenses. In the fourth quarter of last year, the gains of sales of non-core assets and securities, and the gain resulting from the exchange of our Asian joint ventures for share in Wilmar International were $967 million. Financing cost, net, which consists of interest expense less investment income was $73 million for the quarter, up from $46 million last year reflecting the higher average debt levels that were used principally to finance our additional working capital requirements. Our effective tax rate this quarter was 31%, which gave us a full year rate of 31.3% in line with our estimates and just below the fiscal year 2007 rate of 31.5%. As we look at fiscal '09's tax rate, we are estimating rates to be down slightly, approximately in the 30% to 30.5% range. The resulting net earnings and earnings per share both declined compared to last year due principally to the absence of the after-tax gains on asset sales that we recorded in the fourth quarter of fiscal '07, partially offset by the increased segment operating results. Turning to slide seven, you will look at certain items for the quarter shown here on an after-tax basis that impact the comparability of 2008 and 2007. As I mentioned earlier, during last year's quarter, we recognized gains totaling $616 million related to asset and business disposables, and the reorganization of our interests in Wilmar International. Additionally, the after-tax charge related to the year-over-year change of our LIFO based inventories increased to 125 million this quarter from 38 million last year. Other items set out on this chart include some asset impairment charges and a charge related to early debt retirements in 2007. A more detailed summary of these items by segment has been included in the appendix to this presentation. Turning to slide eight, we have a comparative overview of our operating profit by segment. Total segment operating profit for the quarter decreased 33% to $777 million. We can turn straight to Slide nine to begin the review of the major changes in each individual segment. Slide nine looks at the operating profit of Oilseeds Processing. The Oilseeds Processing profit decreased 37% to $375 million for the quarter from $592 million last year. Crushing and origination results improved $196 million to $276 million, as both processing margins and merchandising opportunities improved globally, reflecting good demand for vegetable oil and protein meal. Refining, packaging, biodiesel and other results declined $11 million due to comparably weaker biodiesel margins in Europe, and several smaller asset impairments that we booked this quarter. These reductions were partially offset by improved North and South American refined oil and biodiesel margins. Oilseed results for Asia declined $402 million, due principally the one-time $440 million non-cash gain recognized in last year's quarter, related to the exchange of our joint venture interest for shares in Wilmar. As we look at current conditions, we are seeing demand for protein meal and vegetable oil slowing globally, and we have begun to reduce crush rates in response. Looking at current oilseed crop conditions, harvest is progressing well in Europe. South America has had a good harvest. Here in the U.S., the final size of the crop remains to be seen. Overall, soybean supplies could remain quite tight. Current margins for biodiesel vary significantly between markets, but overall, demand continues to grow, especially in Brazil, as their B3 mandate commenced July 1. Moving to Corn Processing on slide 10. Sweetener and starch operating results improved 14% in the quarter to $120 million, and bioproducts results improved 15% to $142 million. Our net corn costs were not materially different from last year's fourth quarter. Production volumes declined approximately 2% for the quarter, due principally to the disruption to our Cedar Rapids facility from the severe flooding in June. Manufacturing costs increased year-over-year, due principally to significant cost increases for energy-related inputs. Average selling prices increased for sweetener and starches, and sales quantities were down slightly. In Bioproducts, average selling prices for ethanol decreased slightly, while selling prices increased for lysine. Sales quantities increased significantly for ethanol, lysine and other food ingredient products. Our increase in sales quantities for ethanol in the fourth quarter included both ADM produced product, and merchandised ethanol; ethanol we sourced from both the U.S. and internationally. There is still uncertainties about the size of this year's U.S. corn crop, although market estimates have increased as weather conditions have improved. Crop prices have declined from the record levels seen in mid-June, but remain historically high and volatile. We currently expect to see higher selling prices for ethanol in this current quarter that we are in compared to last quarter and shipments should remain at a good pace. As current market prices for ethanol remains very attractive relative to unleaded gasoline. However, margins are being challenged by high corn costs, as well as increased energy and transportation costs. Let's now turn to slide 11, and look at the operating performance of our Agricultural Services segment. During our fourth quarter last year, we sold our investment in Agricore United and recorded a $153 million gain which was recorded in the Merchandising and Handling line. Excluding this one-time item, and despite the disruptions caused by the spring flooding and the slow down in export activities, results improved 11% for our Merchandising and Handling businesses, and approximately 14% for the segment as a whole. The U.S.DA is currently forecasting decreased U.S. grain exports this year, as larger supplies of wheat, out of Europe and Australia, will most likely not allow a repeat of the U.S. export volume and margin opportunities that we saw last year. High fuel costs remain challenging for our barge business. Turning to slide 12; slide 12 is an operating profit analysis of the other segment, reflecting a $51 million decline quarter-over-quarter. Wheat, cocoa and malt results declined by $21 million, due principally to weaker March '08 earnings reported by our equity investee Gruma S.A, and weaker cocoa earnings due to relatively high cocoa carrying costs along with margin pressures in our chocolate business. Current conditions for wheat, cocoa and malt reflect adequate wheat supplies, which in fact could reduce opportunities for the milling division. Demand for cocoa and cocoa products continue to grow. And just last week, we closed on the sale of our malting division to Malteurop. Financial earnings decreased $30 million due principally to reduced income from our managed fund investments as these investments continue to wind down. Moving on to slide 13. Slide 13 looks at the main components of our corporate line which turned from a net gain of $242 million last year to a net charge of $238 million this quarter. As shown on this slide, our LIFO charge increased by $138 million to $198 million this quarter due to further price escalation related to our LIFO-based inventories, and the $363 million gain on security transactions in 2007 related principally to the liquidation of marketable securities investments that we have previously discussed. Now turning to slide 14. Slide 14 shows our condensed balance sheet as of June 30, 2008 and the comparison to the prior June. The most significant change to our balance sheet continues to be the increase in our working capital levels, due principally to the impact of higher commodity prices. The working capital amounts include our readily marketable inventories which have a carrying value of approximately $7.8 billion at June '08, compared to approximately $4.4 billion at June '07. Spending on our seven major capital expenditure projects, that we updated you on during our last call, has continued in addition to our normal plant sustaining spend. As a result, PP&E, net of depreciation has increased $1.1 billion for the year. And as you will note, this balance sheet expansion has been financed from both earnings from operations and by a combination of short-term and long-term debt. In late May, we successfully completed a $1.75 billion equity unit offering, adding additional financial flexibility. Slide 15. Slide 15 lays out our cash flow highlights for the current and prior years. Cash generated from operations before the impact of changes in working capital was $2.4 billion for the year, up 24%. As commodity prices continue to rise throughout the year, cash required to fund changes in our working capital also reached record levels. During this past quarter, the pace of increase has slowed. The $5.6 billion number reflecting changes in working capital for the year is up approximately $200 million from where we stood at the end of March. The increased property, plant and equipment spending reflects the previously noted expenditures related to our construction program. We have had no additional share buyback activity this quarter, and our dividends paid reflect our increased dividend rate for the year. Turning to slide 16. Slide 16 provides an update of our current performance against our targeted long-term performance objectives. Our rolling four quarters RONA ended June 30 was 10.2%, below our targeted 13% objective. And while we have been highlighting RONA on our conference calls recently, internally, we have continued to use a basket of measures including RONA and return on equity, ROE As we have discussed in our IR presentations, increased commodity costs have led to higher working capital levels for ADM, but we also find that additional earnings opportunities do come along with these elevated prices, rewarding this use of working capital in the form of increased earnings per share. The bar chart on slide 15 clearly shows a dramatic increase in working capital in the blue sections of the bars. Higher working capital reduced RONA returns, but did not impact ROE nearly as much as can be seen by the increasing spread between the orange and green lines over time, of course with the exception of 2007 where both RONA and ROE were impacted by the large one-time gains. Our RONA target was set when market circumstances and anticipated crop price levels were different than they are today. We want to continue to identify and communicate financial targets for our investors to assist in their analysis, and are therefore, evaluating RONA and other measures in light of current and expected future market conditions. We will update you on our next call. You will also see at the bottom of the slide, our cost per metric ton was $119 per ton for the year compared to our objective of $110. Like RONA, this metric was set in a time of different market conditions. The weaker U.S. dollar has resulted in an increase in our non-U.S. manufacturing and SG&A costs, and we have seen the impact of higher energy costs. Our goal here, too, is to increase investor transparency and communicate our performance relative to effective cost control. While our team is focused on efficiencies and made progress against specific cost control objectives this year, this external measure, as we have defined it, does not fully capture our successes. Details of the calculations of these non-GAAP measures, the RONA and cost per metric ton performance metric can be found in the appendix to this presentation. At this time, I will turn the call back to Pat, and we will be glad to take your questions.
Pat Woertz: Thank you, Steve. Operator, you can open the lines for questions. Steve and John and I will be here to answer them. Thank you.
Operator: (Operator Instructions) And your first question is from the line of Christina McGlone from Deutsche Bank. Please proceed.
Christina McGlone - Deutsche Bank: Good morning.
Pat Woertz: Good morning Christina
Steve Mills: Good morning, Christina.
Christina McGlone - Deutsche Bank: I guess my first question just has to do with the other division, there was such a drop-off sequentially and year-over-year. How should we think about that business going forward? I mean is this a new run rate or was there a lot of unusual things happening this quarter?
John Rice: Well, I'll answer that, Christina, this is John. When it comes to the Milling division, last year we had a lot of good opportunities in being able to take certain quality wheat from one part of the country to the other part of the world and to be able to enhance margins and capture larger margins. As far as our Cocoa business, we've had a few brought to market issues on our cocoa, and also with the carrying charges in the market, it's in an inverse right now, and starting to become a little bit of a carry, but that's caused us a little bit of a problem also in the Cocoa division. So, going forward, I think, right now, cocoa looks to be a little bit more positive next year and I think wheat milling probably will not be as good.
Steve Mills: I would just like to add, Christina, that this past quarter, we picked up our results on Gruma on quarters and arrears, and they had a weak quarter which you can read about since they're a public company and their quarter ended March of '08. Their quarter ended June is better, and I think their outlook is better. So we really looked at that as a one-time item. In the financial part of that other, we are winding down our managed fund investments. They get smaller and smaller therefore the historic gains that have been recorded as those equity fund investments wind down and won’t be repeated. So that just gets to be smaller and smaller.
Christina McGlone - Deutsche Bank: So, the financial line eventually should go towards zero?
Steve Mills: Oh, no. No.
Christina McGlone - Deutsche Bank: Okay.
Steve Mills: There's really a couple of components there, Christina. Besides the private equity funds, we have our ADM Investor services in Hickory Point Bank, both performing very well, but in the context of ADM, they are not significant numbers.
Christina McGlone - Deutsche Bank: Okay. And then, Steve, you mentioned the fact that protein meal and vegetable oil demand slowing and you're reducing crush. Where geographically are you seeing that and reducing your crush rates?
Steve Mills: Well, Christina, we are seeing that a little bit everywhere. I'll let John fill in the details.
John Rice: Christina, currently we're seeing a drop-off in the crush in the North American markets. We have not seen that yet in Europe or in South America currently.
Christina McGlone - Deutsche Bank: Okay. So, you can sustain margins in that area, you should just see lower volumes, lower throughput, that's the intent of reducing your crush?
Steve Mills: Correct.
Christina McGlone - Deutsche Bank: Okay. And then just last question, the volumes for sweeteners and starches weren't bad considering the floods. Are you seeing a core volume pick up there in sweeteners, especially given the fact that sugar prices have really risen in the U.S.?
Steve Mills: I won’t attribute this year to sugar prices as much as, I think that the weather got a little bit nicer, and this is a time of year we usually start seeing a little bit of pick-up in the sweetener volume, plus we also we are picking up a little bit more business going into the Mexican market.
Christina McGlone - Deutsche Bank: And then looking into the fall and winter, do you see volumes up versus a year ago?
Steve Mills: Historically, we usually see the volumes taper off during the fourth quarter, especially. Year-on-year. I would have to say the sweetener volumes are going to be down throughout the industry. We are seeing less demand from the soft drink side.
Christina McGlone - Deutsche Bank: Okay, all right. Thank you.
Steve Mills: You're welcome.
John Rice: You're welcome.
Operator: Your next question comes from the line of Vincent Andrews from Morgan Stanley. Please proceed.
Vincent Andrews - Morgan Stanley: Good morning, everybody.
 Pat Woertz: Good morning.
Vincent Andrews - Morgan Stanley: On Christina's question, so it sounds like from a demand construction perspective, in oil seeds you're not seeing any real change, material change in Asian demand for protein meal or oil, is that correct?
John Rice: No, we're not. It's more just a short-term. It's not unusual during this time of year to see demand slip a little bit. We feel long-term, the demand will still be there. We are still going ahead with our crush expansions at our plants. So, we still see long-term growth. I think this is just more of a seasonal time and, you know, with the commodity prices falling every day, people don't want to buy and tends to make the market more hand-to-mouth.
Vincent Andrews - Morgan Stanley: Okay. So that's very helpful. So it's not an issue of economic slowdown or any of the kind of macro issues that the people have become concerned about from your vantage point, is that correct?
John Rice: That's correct. I mean we are hearing people talk about reducing numbers. We haven't seen a large reduction in numbers, but we keep seeing Asia increase and other parts of the world increasing. So, we do not think it’ll be a long-term trend at all.
Vincent Andrews - Morgan Stanley: Okay. And then if I could just ask you on high fructose corn syrup. Historically, you always sort of had an annual contract for that. What would be the argument at this point for keeping an annual contract? Is there any thought given to volatility in grain prices to make the duration of that contract shorter?
John Rice: No. We are really working with our customers. If they want an annual contract, we’ll supply them with an annual contract. We can easily hedge up the corn if we want or not. So, it's really whatever the customer wants. If they want a shorter time period, we'll sell them a shorter time period. A lot of people are budgeting their numbers on a whole year, so we'd usually tend to sell it for a whole year and that's the way sugar is sold mostly.
Vincent Andrews - Morgan Stanley: Okay. And I guess my last question is; this time last year there were GMO issues with the EU as it related to by-product. It doesn't appear that those have recurred this year. Is that correct?
John Rice: We are still not shipping our corn gluten seed over to Europe. We have developed a lot of other markets throughout the world to ship our corn gluten feed. And also, domestically, we've picked up a lot of business. A lot more people are feeding corn gluten feed instead of corn. It's very price competitive. So it's very disappointing we lost that market. But we have found other markets around the world.
Vincent Andrews - Morgan Stanley: Okay. And then I guess my last question, I'm sorry, any thoughts on the EPA waiver request and what that's going to amount to if anything?
Pat Woertz: I'll take that one, Vincent. The RFS schedule is part of the 2007 Energy Bill, as you know, or the Energy Independence and Security Act, and we remain I would say, optimistic, maybe even cautiously optimistic. As the Congress left for the recess, there was no action taken. We expect the EPA waiver decision by the middle of August, and I understand they're reviewing the many comments that were made from both the public and companies, etcetera, and that commentary will be weighed as part of their decision. Again, we're optimistic.
Vincent Andrews - Morgan Stanley: Okay. Thank you very much. I'll pass it on.
Pat Woertz: Thanks, Vincent.
Operator: Your next question comes from the line of Robert Moskow from Credit Suisse. Please proceed.
Robert Moskow - Credit Suisse: Hi, thank you. Can you give me a sense on the bioproducts line that came in a lot better than I had expected. You said that you benefited from merchandising ethanol, perhaps some of it from your international operations. Are you also merchandising ethanol that is made from other manufacturers domestically in the U.S.? And to what extent is your scale in ethanol helping you make money here whereas all your competitors are losing money?
Pat Woertz: John, do you want to take that?
John Rice: Well, yes. We are merchandising domestically produced ethanol and also ethanol produced in other parts of the world. Our scale and size of our plants, that we've always said, does make us very competitive in the long term, and we have the logistics capabilities. So, if we buy ethanol from other parts of the world, and we can arbitrage our way out of that position, and end up shipping it out of a domestic location, we'll end up doing that. So it gives us a lot of flexibility overall. We also have very good relationships with customers. We're a very large supplier. They know that if ethanol coming from Brazil will not make it, we can cover it with our own production.
Robert Moskow - Credit Suisse: Okay. And just a follow up, your comments here, John and Steve about changing the RONA targets lower, oilseed demand slipping, Ag services profits normalizing. You're really guiding here to a lower year next year to EPS sequentially. Can you give us a little help here on what kind of range of outcomes you think are likely for next year? And, will we ever get to an earnings power again like we saw in fiscal '08?
Steve Mills: I'll start with that, Rob. I think, first of all, on the RONA targets, well, let me start with the bigger point, as you know, we don't give guidance and I don't think we gave guidance today. I think as I talked about the RONA metric, when we developed that metric, it was a return that we had been earning over a long period of time. I'm not saying we don't like that target. We're just saying that we're in these times with the higher working capital levels and the CapEx programs that, maybe, make RONA not the best reflection of what's going on in our day-to-day business. That 13%, when we set that out was with some assumptions that working capital would be relatively steady or growing as the business grew. So I guess, I don't want to paint too negative a picture there other than, there are some other measures that may from time-to-time better reflect what we're doing. What else was on that question? There were more that I wanted to answer and I didn't.
Robert Moskow - Credit Suisse: Well, we touched on oilseed and then also Ag services kind of normalizing here because of Europe and Australia.
Steve Mills: Yeah. It's a great question about the opportunity set because one never knows when they're going to appear. We probably wouldn't have predicted the 2008 results a year or 18 months ago just because they appear, and as Pat articulated, we have the asset, we have the chain, we have the people that can turn and take advantage of that quite quickly. So, we continue to build out our model, to fill in the holes that we have and we're in it for the long term. And I think Pat wants to add a little here, too.
Pat Woertz: You know, Rob, another item on your question about metrics that I think is helpful to think about is that, we want to continue to discuss a variety or a basket of metrics as we've kind of referred to. So, we'll update you next quarter with our thinking associated with that, and it does go along with sets of assumptions, as Steve mentioned, whether you assume RONA, which I think is still a very strong internal metric when you're building out capital as we are, to keep that focus. We have quite a bit of unproductive capital still on our balance sheet until these plants come on stream. So, we won't give up on the RONA look. It will just be in a bit of a different environment and maybe our calculations, as we'll share with you. And we'll have some assumptions set out with them.
Robert Moskow - Credit Suisse: Okay. Thank you.
Pat Woertz: Thanks, Rob.
Steve Mills: You're welcome.
Operator: Your next question comes from the line of Ken Zaslow with BMO Capital Markets. Please proceed.
Kenneth Zaslow - BMO Capital Markets: Hi. Good morning, everyone.
Pat Woertz: Good morning, Ken.
Steve Mills: Good morning, Ken.
Kenneth Zaslow - BMO Capital Markets: Just a couple of questions: How does the recent correction in the commodities, corn, change anything that you would be doing going forward in terms of your working capital needs as well as your margin structure outlook going forward?
John Rice: You want to answer that, working capital?
Steve Mills: Well, the working capital is the arithmetic right now, and of course the lower commodity prices takes a little pressure off, which is a good thing, at least from what our treasury folks think, and it gives us just a little more flexibility.
John Rice: And in terms of the corn prices going down, I think since the June 1, we've had corn prices go down 12%, sugar prices go up about 23%. So as that spread keeps widening, depending on what the spread is at the time of our fructose pricing, it should be more positive for next year's fructose pricing.
Kenneth Zaslow - BMO Capital Markets: If the corn goes down, does that change your ability to negotiate the high fructose corn syrup? It doesn't sound like it does. That's a misnomer, right?
John Rice: Correct. Last year, we ran into some areas of the country where we were competing with sugar on a price level. So, as sugar keeps going up domestically and internationally, and corn keeps coming down, I think some of these fringe areas, these smaller users, we may be able to pick up some of that volume again next year.
Kenneth Zaslow - BMO Capital Markets: Okay. And could you give us an update on your capital projects? I didn't see a slide, I may have missed it, but I thought you used to give a slide of your capital projects and the timing of that. I thought that was very good. I didn't see it, so I apologize.
Pat Woertz: No, Ken. We update when we have any changes and we have no changes to the last update we gave you. So, we still believe from a schedule and a cost perspective, we're in those same parameters. Are we planning to update next quarter? Is there anything new?
Steve Mills: Let's see. We did the slide last quarter. Well I think we'll update it, or at least verbally, if there's anything that’s significantly changed.
Pat Woertz: And some of these plants will come on stream within the next calendar year or at the end of the next calendar year.
Kenneth Zaslow - BMO Capital Markets: And my last question is, it is interesting you made a comment in the corn business that net corn prices were no different than last year, year-over-year. Can you give us a reason? Obviously, we see corn prices where they are. Is it because of the hedging that you did? Is it because of the byproducts or is it just simply a timing that it takes three months before corn gets into your income statement?
John Rice: I'll add all three of those.
Kenneth Zaslow - BMO Capital Markets: I got to be covering you guys too long, but…
John Rice: It's a factor of all three. When we buy the corn, how the byproducts work through on the P&L, and you hit the nail right on the head there.
Kenneth Zaslow - BMO Capital Markets: Can you give a little weighting to which ones were bigger factors and which ones will be a bigger factor going forward?
John Rice: That's tough to do because with the byproduct credit -- we're seeing corn oil prices come down just because we have got a bigger sunflower crop. Sun oil is a little weaker, so corn oil comes down. Corn gluten feed is usually slower at this time of the year, but we are seeing a lot of interest. People are holding up on purchases there. So, it's a little tough to say just because of the timing on a lot of the variables here.
Kenneth Zaslow - BMO Capital Markets: Great. I appreciate it.
Pat Woertz: Thanks, Ken.
John Rice: You’re welcome.
Operator: You're welcome. Your next question comes from the line of Christine McCracken from Cleveland Research. Please proceed.
Christine McCracken - Cleveland Research: Good morning.
Pat Woertz: Good morning, Christine.
Christine McCracken - Cleveland Research: Just on the expected incremental capacity in ethanol coming online here over the next couple of months. As you look ahead and try to estimate where demand might be for the fall, is it your expectation that pricing can hold at these levels or is it that, we should see incremental price pressure through the second half?
John Rice: I would like to think we should see some support, but ethanol prices seem to be following corn more than anything right now. When a new plant starts up, ethanol plants are fairly easy to start and stop. So, as a new plant can make a cash flow margin, they are starting up and operating, and making sales. I think going forward, that will change a little bit just because of the cost of capital, the cost of building these plants is becoming so much higher, so I think a lot of plants that were supposed to be built are not going to get finished and are not being built. So, I think we'll have still a little bit of a growth period here, but I think in the long-term, we're still looking very positive on this business, and especially with the discount to gasoline. We keep picking up more and more volume and business in the whole industry.
Christine McCracken - Cleveland Research: And just in terms of your capital projects, I'm sorry if I missed it, but, did you mention exactly what your plans are for your delayed plants or when that might come on line?
John Rice: No, we haven't changed any of our startup dates at all from our last conference call.
Christine McCracken - Cleveland Research: Okay. And then just with the mandate going up next year and obviously that's going to force quite a bit of incremental land into corn for next year. If you look then at where we are in soybeans, and what might that mean for soybean stocks and soybean prices? And, again, this is kind of looking into the future. But, given no expected change to the mandate let's say for the next year, how do you kind of position your business for the next 12 months knowing that there is likely to be a fairly sizeable shift of acreage into corn and out of beans?
Steve Mills: Well, there are a lot of points to that whole question. But when we look at the world situation as it sits today, we're seeing very good crops, we're seeing expanded acreage out of the Ukraine, Russia, the EU-27.We're having larger corn crops, larger wheat crops out of there. So, that is having an effect on the corn demand here out of the United States, and it's also effecting a little bit of the protein demand. We still don't know what our crops here are in the United States. People are raising the estimates now. But, we still will not know until harvest starts here at the end of September, first of October. I guess the point is, yes, we still need good crops in the future. The corn carryout, depending on what those crop is, can have a wide variance on how much acreage we will need next year or not. And then also what's the acreage in South America, how much they increase, how much they don't increase. So, there is a lot of variables still coming. A lot of it is still price related and input related. But, I understand the question. We're looking at it. But, we still believe in the long-term that we'll be able to reap ample harvests around the world and keep expanding our land and yields.
Christine McCracken - Cleveland Research: Just one point of clarification, too. On that bad debt, expense you mentioned as part of the increase in SG&A, was there anything specific behind that?
Steve Mills: No, there wasn't, Christine. It's somewhat general in nature, but I think it reflects, and we haven’t -- I'm sitting here looking to, knock on some wood, that we haven't had much problems here. But in these times of volatile pricing, both up and down, it puts both contract performance and credit more into question. And we've done a great job around here of managing that. In the grand scheme of things, it was a relatively small amount, but it was on that list of lesser items on the increase.
Christine McCracken - Cleveland Research: Alright. I'll leave it there. Thank you.
Steve Mills: Thank you.
Pat Woertz: Thanks, Christine.
Operator: Your next question comes from the line of Dianne Geissler from Merrill Lynch. Please proceed.
Diane Geissler - Merrill Lynch: Hello, good morning.
Pat Woertz: Good morning, Dianne.
Pat Woertz: Good morning, Dianne.
Diane Geissler - Merrill Lynch: I wanted to talk about what has happened with your stock price here recently over the last couple of months, and I realize, due to the constraints of the build and working capital, you haven't been able to be active in the market. But I guess, if we look at crop prices coming down and you reversing some of this extraordinary build and working capital, what would be your priorities for any free cash that you might generate? Your debt piece has ballooned with the working capital. Could you just give us some commentary on share buyback versus debt pay down? What are your thoughts there?
Pat Woertz: Great question, Diane. We've talked about this. Steve, you want to comment?
Steve Mills: Sure. Diane, this is something that we think about. Of course our credit rating is important to us, and it allows us access to that Tier 1 commercial paper market which provide us with flexibility, especially in this last year to do what we did and take advantage of the opportunities that were out there. And when we had discussions with the rating agencies when we issued our mandatory units, the agencies of course, discourage share buy backs, but we still have some commodity volatility. We have got our ongoing CapEx program that's got a little more than a year to kind of run out. We're kind of at the peak spending period as we stand here. And we see some good M&A opportunities out there that we're evaluating each and every day. So we'll have to see about buy back as the market conditions change. And, as you pointed out, we've seen commodity prices change. But I think it's in the basket of mix of things. But, we see again with the commodity volatility and the others that that's where it stands.
Diane Geissler - Merrill Lynch: Okay, great. Thank you. And then I just wanted to clarify on your comments about the reduced demand for meal and oil. I think you said it was limited primarily to the North American market? I may have misheard that.
John Rice: In the meal demand, we're seeing a little bit of that. But, it's really more of a short-term. Since we see this every year a lot of times, we have normal down-time maintenance at the plants, and some people are talking about reducing the animal numbers. With the oil, we have very large palm stocks in Asia. We're also seeing China, who were buying oil and then subsidizing, and selling into the market at below market prices. So that's had an effect on oil. And, oil prices got very high and biodiesel demand fell off a little bit, but as oil prices come down, we're starting to see that pick back up. So, I think it's just more of a short-term aberration than it is a long-term trend like I mentioned earlier.
Diane Geissler - Merrill Lynch: Okay. But, would you take it as limited to the North American market?
John Rice: All markets tend to globally affect each other eventually. So, if it's just North America, and if we're cutting back here on animals and in South America, depending on currencies, may be adding animals and Europe accordingly, but we're seeing a slight slow down. But, like I said, I don't think it's going to be a long-term affect, especially when harvest starts here in another two, three months.
Diane Geissler - Merrill Lynch: Okay. And then I guess just on ethanol and your build out, you sound like you're right on plan with the expansion, etcetera, but I wonder, however you handicap the waiver thing, if they grant a waiver this year, would your plans change? Would that make you rethink, okay, the political wheel doesn't seem to be behind ethanol anymore, therefore we need to reevaluate where we are? And I guess, if you could also comment on what you're hearing about the industry in total? I know that there have been plant slow downs as economics have deteriorated here with the very high corn prices earlier this summer. But, are you hearing of, sort of, plans that you saw that were on the board from smaller players just going away and those plants never getting built? What is your feeling on that?
John Rice: I think some of that is happening just because of the cost to build plants these days, with stainless steel, labor costs and everything else going up, and they don't see the margin out there right now, and the cost, and finding capital is also very tough. So I see a lot of that happening. I think long term we'll see more plants slowdown or not be built. In the nearby situation, we're not going to change ours. We're already blending over the mandate right now. Ethanol is a lot cheaper than unleaded gasoline. So, everybody is going to be trying to expand and blend as much as they can. So even if there is a waiver, which really doesn't make much sense, we still do not see the ethanol demand slowing down at all, just because it is very price competitive.
Diane Geissler - Merrill Lynch: And you're satisfied with the new market development?
John Rice: Yes.
Diane Geissler - Merrill Lynch: In terms of picking up the incremental supply that's scheduled to come on line over, say, the next 12 months?
John Rice: Yes. We keep seeing new markets come in, and as ethanol is $0.60 to $1 under unleaded gasoline, more and more people keep blending it and using it.
Diane Geissler - Merrill Lynch: Okay, perfect. Well, thank you.
Pat Woertz: Diane, I might add to that. One thing that we are going to do,, I'll mention at the end of the call is have the tour of our Cedar Rapids plant and the corn processing presentation. You'll be able to see the integration of both construction and the dry mill facility being integrated into the full wet corn processing process. Steve, John and I will be there as well as our corn processing management. So, sort of a deep dive into that and be able to see it firsthand.
Diane Geissler - Merrill Lynch: All right, terrific. Thank you.
Pat Woertz: Thank you.
John Rice: Thank you.
Operator: Your next question comes from the line of Ann Gurkin from Davenport. Please proceed.
Ann Gurkin - Davenport: Good morning.
John Rice: Good morning. Hi, Ann.
Pat Woertz: Hi, Ann.
Ann Gurkin - Davenport: I wanted to ask you about your recent announcement about the investment in sugar-based ethanol. I know you have identified your interest in moving into that space. Was this the right value equation? Was this the right time? Do you see perhaps this as a strategic move because the U.S. might open? Can you just comment a little bit on that?
Pat Woertz: Sure, Ann. First of all, I will say, we have made no announcement, and as you might know, when we're ready or if we plan to make an announcement of such type, we would certainly add some detail to it and be able to communicate with you in a press release and so forth. There have been rumors of that, and of course we don't comment on rumors. What I can say is, we have been interested and continue to stay interested in investment in sugar and ethanol processing in Brazil. And we have talked with several potential partners as well as greenfield, brownfield, further investment. So, it remains inactive. And if we have something to say, we'll sure add some clarity to it.
Ann Gurkin - Davenport: I apologize. I thought you had made an investment in South America.
Pat Woertz: There's been some rumor about the same. It's kind of been covered in the Brazilian press and translated in the U.S. a bit.
Ann Gurkin - Davenport: Right.
Pat Woertz: We'll comment on it when we have something to say.
Ann Gurkin - Davenport: Okay. And then also, I thought I read a story about China perhaps looking at opening up restrictions on GMO grains, and particularly corn. Do you have any information on that or any perspective on if that might change there?
Steve Mills: I guess I haven't heard anything new on that at all. So I can't comment on it.
Ann Gurkin - Davenport: Okay. Struck out twice. Thanks. Thank you all.
Operator: Your next question comes from the line of David Driscoll from Citi Investment Research. Please proceed.
David Driscoll - Citi Investment Research: Thank you. Good morning, everyone.
Pat Woertz: Hi, David
John Rice: Hi, David.
David Driscoll - Citi Investment Research: Good morning. John, you mentioned a couple of times on different questions about the slight softening or that you're seeing in the North American market. If I could just push you a little bit on this one. The chicken people have been extremely negative in terms of where their margins are and certainly their losses are real. They're projecting something like that they need to see almost a 60% increase just to get back to break-even levels. You seem to indicate on this call that you feel like the demand softness is very temporary. Can you expound on your thoughts a bit more in terms of why the situation in the protein market isn't very concerning for demand for soy meal?
John Rice: I would really look at this in more of a global market. You still issues down in Argentina. The Brazilian crush will be slowing down here. We're still seeing good demand in Central America and other parts of the world. We're still seeing growth. So as the world keeps growing, we may see little pockets here in the United States that have issues, but as long as the animal numbers keep expanding, population keeps expanding, I think protein demand will keep rising.
David Driscoll - Citi Investment Research: I have another big picture question here. We had very, very tight conditions in global Ag last year, coupled with record U.S. tonnage for Ag production. Giving your asset mix and kind of where the bulk of your assets are still in the United States, it's my opinion that this was an enormous benefit for ADM. When I look forward, you actually see U.S. tonnage down because of the shift back into soy, and then also big picture, you've got the global wheat crop coming in and looking pretty good right now. It feels as if this should result in a more difficult environment for ADM and profit generation in the coming 12 months. Would you all agree with that statement?
Pat Woertz: Well, without giving guidance, David, I think the factors that you described are accurate in terms of where most of our assets are, where most of our opportunities were this past year. I guess the uncertainty around, and the reason why we don't give guidance, are because things change all the time and different opportunities present themselves each quarter. But your overall description of where we sit, where our assets are, and how our infrastructure and opportunities present themselves is accurate, I think.
David Driscoll - Citi Investment Research: One final question here, just a couple of items. Would it be possible for you to give us any outlook on interest expense for F'09? And did you give a CapEx number for F'09? If you did, I missed it.
Steve Mills: No. We didn't do either one of those. I'm just thinking on the CapEx side, we're going to be up some from where we're at to finish the projects. The peak here will be in '09 and my guess is that we will probably be just a little north of $2 billion where we stand today. Interest expense, of course, that's a hard one. Of course, interest expense was up this year with the additional borrowings. We're just going to have to see where the world takes us. So, we can either get back to you or we'll figure out a way to get people some help on that.
David Driscoll - Citi Investment Research: Really appreciate it. Thanks for all the comments.
Pat Woertz: Thanks, David.
Operator: Your next question comes from the line of Ian Horowitz from Soleil Securities. Please proceed.
Ian Horowitz - Soleil Securities: Hi. Good morning, everyone.
John Rice: Good morning.
Ian Horowitz - Soleil Securities: Just a quick question. We talked about this a little bit around this time last year, about the physical mid-stream constraints on ethanol blending and transportation. Do you see that now in the system and where specifically do you really, if there is, where specifically do you see this tightness?
John Rice: I don't see any constraints in the system at all. People keep expanding so they can handle ethanol. But what we're actually seeing in the market a lot of times is, people will buy Brazilian ethanol and shipments will be delayed just because of the infrastructure down there. And so, we'll see a lot of opportunities where we can fill in and sell some additional gallons in the short-term. But, overall, in the U.S., I don't see any constraints in growing the market at all.
Ian Horowitz - Soleil Securities: And do you think that the capacity is there, if the RFS does increase for the '09 year. Do you think that there's capacity there to handle that kind of volume?
John Rice: Yes, I do.
Ian Horowitz - Soleil Securities: Okay. And then on the same ethanol vein, have you guys received any of the Mexican sugar with this new HFCS agreement and processed it through to ethanol?
John Rice: No, we have not.
Ian Horowitz - Soleil Securities: Okay. And then, I think Vincent asked a little bit about the EPA, the waiver request, but I think the other question has to do with the tariff. There's been a lot of discussion on what to do with this tariff and now that kind of Doha has fallen apart again, there are discussions of Brazil taking us to court on the tariff. I'm wondering if you guys can comment a little bit about the odds of this actually happening with Brazil, taking us in front of the WTO, and what that could mean for domestic corn-based production?
Pat Woertz: Yeah, I'll take the government question here, Ian. We've read some of the same things about the Brazilians bringing an international trade case against the ethanol tariff. It's our understanding and we believe this tariff is allowed under the current WTO rules, and the current level, if the $0.54 a gallon doesn't exceed the boundary. So, it's our experts' opinion that this would survive any kind of case like that. Of course, depending on whether or not a case is actually brought is a whole different story. It could be just discussion and rhetoric as Doha discussions often have discussions of things that aren't really in the mix. So we look at that as, the tariff is allowed under the WTO rules.
John Rice: Ian, if I could just add another thing. There is a lot of talk about the tariffs, but logistically, Brazil is just not set up to handle and ship any more ethanol than they already are. I mean, they have the infrastructure issues. We are very involved in the Brazil infrastructure. Probably over the long term, that can change, but it also comes down just to a revenue issue by doing away with the tariff, it’s just less revenue in the United States because X amount of gallons will come to the United States one way or the other.
Ian Horowitz - Soleil Securities: No, I mean I understand that, but I feel like, right now, we're seeing the marginal gallon, which is Brazilian sugar ethanol setting, at least putting a level into the pricing of the domestic markets. And first of all, I'm wondering why there wasn't a quick response to get this $0.54 tariff back in line with the credit, which is what it was supposed to do, as far as I know. And then, if we get a negative decision out of any kind of WTO or policy standpoint and drop the tariff dramatically, it can still be there. I agree that there's no real excess capacity coming in from Brazil. But, it can still set quite a pretty destructive price. Don't you think?
John Rice: Well, right now, corn-based ethanol, I mean, ethanol produced in the United States is cheaper than Brazilian ethanol coming into the U.S.. So, I mean right now, corn-based ethanol is setting the market. As sugar goes up and corn goes down and vice versa. It can have an effect over the year. Yes, I do agree with that.
Ian Horowitz - Soleil Securities: Okay. But as far as you guys are concerned, you think that this is a pretty baseless complaint, and you feel that the tariff is defensible?
Pat Woertz: Yes.
Ian Horowitz - Soleil Securities: Okay. Great. Thank you.
Pat Woertz: Thanks, Ian.
John Rice: Thanks.
Operator: (Operator Instructions) Your next question is from the line of John Roberts from Buckingham Research. Please proceed.
John Roberts - Buckingham Research: Hi, good morning.
John Rice: Good morning, John.
John Roberts - Buckingham Research: Is your interest in Brazil also in biofuel or ethanol only. Or do you have a broader interest in the sugar production there as well?
John Rice: Its broader interests. We're looking at sugar and then we make a lot of products from dextrose here in the United States. So, we feel that we could be able to expand and make the products out of sugar.
John Roberts - Buckingham Research: Okay.
John Rice: So, we're looking at this as a whole range of new opportunities for ADM.
John Roberts - Buckingham Research: Because at least the press stories so far out of Brazil have been on ethanol only.
Pat Woertz: I'm sorry, we missed a question. I think we were talking over you.
John Roberts - Buckingham Research: I think the rumored stories, at least those that have come out of Brazil, have been ethanol only?
Pat Woertz: Well, again, we don't comment on the rumors. So as John just mentioned, we're interested more broadly.
John Roberts - Buckingham Research: Okay. And during the quarter, DuPont and Genencor announced a commercial plant for cellulosic ethanol, and I think POET also has been going forward with cellulosic. Do you have any update on your thoughts about that technology?
Pat Woertz: Well, as you might recall, John, we've had discussions about two particular areas of interest to us. One is on a joint venture that we have with ConocoPhillips on a bio-based crude, which you can argue is also second generation biofuels. And then, we also have the corn stover project which is a cellulosic conversion of stover to ethanol. And both are proceeding on path. We're optimistic about them, and part of our technology efforts in the next generation, yes.
John Roberts - Buckingham Research: Is the infrastructure in your current project sort of oversized or at least laid out for additional expansion activity that wouldn't require more utilities and so forth should you need it down the line?
Pat Woertz: A little hard to say John. If you are you talking [two] dry mill plants, or their size and as the utilities and rail and so forth, their infrastructure size to take on more capacity. Was that your question?
John Roberts - Buckingham Research: Correct. Yes.
Pat Woertz: I think they're sized appropriately and we always have an eye for the right kinds of expansion when we put these projects together. They're not overbuilt, but sharing infrastructure is a key part of why our low cost production is part of our objective. It's still too early to tell what kind of expansion might be possible.
John Roberts - Buckingham Research: Thank you.
John Rice: Thank you.
Operator: Your next question is a follow-up from the line of David Driscoll from Citi Investment Research. Please proceed.
David Driscoll - Citi Investment Research: Great. Thanks for taking the follow-up. Just a quick question on ethanol pricing in the futures market. The pricing looks a little weak to me, and I was hoping that, John, you might have a few comments on, number one, just any indication on how far you guys have booked out your prices in ethanol, how far you've contracted it out? I know you don't give exact numbers here on this one, but just give us some level of guidance here. Are the contracts as short as they've been in the past here, one month to three months or has it lengthened out a little bit? And then again, just a comment on the futures pricing for ethanol.
John Rice: It's pretty much the same. Its one month to three months. Every now and then, if somebody is expanding into a new market, they may want a longer term contract. But the futures contract is a little tough to follow, too, just because the volume isn't there. So, you are seeing a difference between the futures market and the cash market more here in the last three to six months, I'd say.
David Driscoll - City Investment Research: So, what are you saying there? Do you not believe that futures price or I'm sorry, I don't understand.
John Rice: I'll believe it, because we'll buy it and sell it accordingly. But it's tough to just take that futures market is what I'm saying, and try to equate it to what the West Coast is worth, what the East Coast is worth, and what you're able to sell ethanol worth at any given time, as there is not a lot of volume in it.
David Driscoll - City Investment Research: I understand. It does seem to be, that it's been fairly weak, though, and that this does not feel as if it’s a positive, which is one of my big concerns on the ethanol piece. Do you feel the same way or do you just?
John Rice: No, the trend right now is, it seems to be lower. I don't disagree with you. As corn prices are falling, the mills, a lot of these start-up mills, if they can buy cheaper corn, they're just looking for a margin to build the cash flow. I don't disagree with that.
David Driscoll - Citi Investment Research: That's real helpful. Thanks a lot, everybody.
Pat Woertz: Thanks, David.
John Rice: Thanks, David.
Operator: And there are no other questions in queue. I'd like to turn the call over to Pat Woertz for closing remarks.
Pat Woertz: Okay. Thank you. Well, thanks everyone, for the interest. If I could turn your attention to slide 18, it does note our upcoming events, including some Investor Relations presentations, our next quarter earnings call, but also the October 7, Cedar Rapids plant tour, which I mentioned. I believe invitations will be going out this week. So mark your calendars for that and look forward to our future discussions there. Thank you all.
Operator: Thank you all for your participation in today's conference. This concludes the presentation. You may now disconnect and have a good day.